Operator: (Operator Instructions) Welcome everyone to The Hershey Company First Quarter 2010 Results Conference Call. Mark Pogharian, you may begin your conference.
Mark Pogharian: Welcome to the Hershey Company First Quarter 2010 conference call. Dave West, President and CEO, Bert Alfonso, Senior Vice President and CFO, and I will represent Hershey on this morning’s call. We also welcome those of you listening via the webcast. Let me remind everyone listening, that today’s conference call may contain statements which are forward looking. These statements are based on current expectations which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward looking statements because of factors such as those listed in this morning’s press release and in our 10-K for 2009 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website www.Hersheys.com in the investor relations section. Included in the press release is a consolidated balance sheets and summary of consolidated statements of income prepared in accordance with GAAP as well as and adjusted consolidated statement of income quantitatively reconciled to GAAP. With that out of the way I’ll now turn it over to Dave West.
Dave West: Hershey’s first quarter results were strong and reflect the momentum of our core brands in the marketplace. The global investments we have made in marketing and selling capabilities are starting to pay off and we see it in our reported results, retail take away and market share. Following three months into the year this high quality quarter has created the confidence and environment to allow us to deliver on both our financial objectives for 2010 while also making additional investments in our business, we’ll have more on this in a bit. In the first quarter net sales increased 13.9% driven by a balance of volume gains and price realization. Volume growth was the result of our execution in the marketplace and the ramp up of investments in core brand advertising and selling capabilities made over the last two years. Base business volume increased, especially in channels where we have focused resources; at c-stores, food, and select mass customers. Price realization can carry over seasonal pricing also benefited the top line. Recall that Easter performance also benefited from the previously mentioned shift in seasonal business from Q4 2009 into Q1 2010. Looking at our retail take away, where we benefited slightly from the timing of an earlier Easter, remember in 2010 Easter occurred on April 4 and in 2009 it was on April 12. Therefore, the reported IRI and Nielsen data as of March 20, excludes the last two weekends in the Easter period. Our custom database and internal estimates of the 12 retail take away figures closer to Easter and not yet released to you, are in line with our first quarter sales performance. We gained market share for the 12 weeks ended March 20th and while results are not yet final, Easter sell through appear solid and we will again gain market share in this key season. I’m very pleased with Hershey’s marketplace performance. Total CMG (Candy, Mint, Gum) category retail take away for the 12 weeks ending March 20, for our custom database, in channels that account for over 80% of our retail business, so here I’m talking about food, drug, mass including Wal-Mart, and convenience stores. That take away was up 7.5%. Excluding Wal-Mart, Hershey’s FDMXC retail take away was up 6.1%. Both of these amounts include Easter seasonal sales. If you look at excluding Easter sales, giving the timing changes, so excluded from the current year and the year ago period, Hershey’s FDMXC without Wal-Mart retail take away was up 4%. We gained market share when you include Easter or exclude Easter so both with or without Easter seasonal activity we gained market share. All in, including the seasonal activity, Hershey category market share in FDMXC increased 0.5 points. Our marketplace results were solid and improved across all channels. We gained market share in all classes of trade except drug which, as expected, was down but did improve versus last quarter. Our marketplace performance was driven by the core brands we have focused on. Specifically, in FDMXC the combined retail take away on Hershey’s, Reese’s, Hershey’s Bliss, Hershey’s Kisses, Twizzlers, and Kit Kat brands, these are the brands where ad spend is ongoing, take away increased about 10%. York, Almond Joy, and Mounds, brands that we just started advertising in January posted FDMXC resale take away up in the teens. Looking at the category, CMG continues to grow within the historical 3% to 4% range. In FDMXC excluding Wal-Mart the category grew 4.4%. Excluding Easter seasonal activity in the current and year ago periods the category FDMXC was up 3.3%. Other than Valentine’s there’s not a lot of pricing in that number. Valentine’s was a headwind for the overall category in the quarter. Total category sales for the Valentine’s season, the smallest of the four seasons, were down mid single digits as gifting was particularly soft. The decline was primarily driven by the drug channel where Valentine’s category gifting sales declined double digits. In the food and mass channels, Valentine’s category sales were about flat. Hershey’s overall Valentine’s retail take away was down and resulted in a market share decline of slightly less than one point for the season. Similar to the last few quarters, our marketplace results in measured channels were driven by our success in the food and convenience channels. The results are a function of the core brand advertising and strong selling, retail execution, and merchandising. In the food class of trade, category growth was 8.1% including Easter and a robust 7.3% excluding Easter seasonal activity from the current and year ago periods. Hershey retail take away in this channel exceeded the category both with and without Easter seasonal activity. Overall this performance resulted in the 0.5 point market share gain the food channel. Collectively the core brands that we’re supporting such as Kit Kat, Reese’s and Hershey’s drove this growth. Again, additionally we got very good early retail lift on York, Almond Joy and Mounds driven by the new advertising copy I mentioned earlier. Let me now talk to you about the c-store class of trade where the category was up 2.3%. In the first quarter Hershey c-store take away increased for the eighth consecutive quarter and our take away was up 6.2% resulting in a gain of one full share point. In the first quarter, Hershey c-store chocolate, and non-chocolate take away were up 9.1% and 5% respectively driven by volume and mix. Strong in store consumer promotions and merchandising drove balanced growth across the core brands. We believe the confectionary category will continue to see growth in the c-store channel as confections remains a strategic focus for these retailers considering about 50% of candy purchases are made on impulse and that candy is the number one category for cross merchandising opportunities in conveniences stores with over 80% of candy purchases made in conjunction with another category. Candy remains very profitable with the second highest gross margin in the c-store. As we look to the remainder of the year, our effort will focus on core brand growth across all channels. We will meaningfully add to and refine levels of advertising and support on many key brands. Our net sales, retail take away and ongoing ROI analysis demonstrate the soundness of our advertising investment. We have high quality copy that is working and it’s made even more impactful when coordinated with in store selling, programming, and merchandising. This strategy will continue to drive our business. We have already benefited from the good programming I just mentioned. Again this year in the first quarter our Reese’s NCAA Final Four Basketball event was a big success. In the second quarter, Reese’s will be one of the main sponsors of the Iron Man 2 movie. We’ll also kick off the summer time s’mores program in Q2 with Memorial Day promotions featuring Rascal Flatts. And just in time for summer movie releases the Hershey’s Kisses brand will anchor our Kisses movie night where we’re giving away a free movie ticket with multiple purchases of 10 oz bags of Hershey’s Kisses, Hershey’s Miniatures, Reese’s Peanut Butter Cups, and York Peppermint Patties. I’m also pleased with the launch and roll out of our new products and more importantly with the positive consumer reaction. In Q1 new products were a net positive for the first time in a number of years, contributing almost two points to our overall sales growth. The December launch of Almond Joy, Hershey’s Special Dark, and York Pieces is the primary driven of this growth. These results reflect our new innovation approach and discipline. Retailers were pleased with this lineup and we achieved our distribution and trial targets faster than anticipated. Pieces will be supported throughout the year not only by product specific advertising on Pieces but also by advertising on the parent brands. We expect innovation to continue to be a top line driver and we’ll follow up the Pieces launch with the December introduction of Reese’s Mini Minis and Hershey’s Drops. As we’ve continued to demonstrate, we remain committed to doing the right things for the business in both the short and long term. Investments we have made are paying off and that is reflected in our overall performance over the last 18 months. Ace business momentum in the first quarter was greater than we had expected. As such, we now have the flexibility to deliver on our financial objectives while also making additional investments in our business both in the US and Internationally. Over the remainder of the year, primarily in the second half, we’ll intensify our efforts on existing strategic projects related to consumer and customer insights as well as category management techniques that will benefit the business over the long term. Additionally, advertising expense will now increase 35% to 40% in 2010. We’ll increase advertising levels on some existing brands and in some geographies. We’ll also test ROI thresholds, driving techniques and expand our digital marketing capabilities. These additional investments were not included in the initial outlook we provided on February 2. Now to wrap up, we’re pleased with our Q1 performance. The strong start to 2010 similar to 2009 will fuel additional investment in the business in the second half of the year. We believe the additional investments we’ll make will ensure the category and Hershey continue to perform well over the remainder of the year and into 2011. The category continues to grow. We have now completely cycled the August 2008 pricing actions and we’re seeing base volume growth. The overall macro economic environment appears to be getting better, albeit very slowly but it is still difficult to predict consumer sentiment and purchasing patterns. There are also some Valentine’s and Easter shifts out of Q4 2010 and into Q1 2011 and Bert Alfonso will give you more detail on this shortly. We see net sales growing comfortably within our long term 3% to 5% net sales targets for the remainder of the year. For the full year we expect 2010 net sales growth of at least 6% including an approximate one point benefit from foreign currency exchange rates. For the full year we have good visibility into our cost structure and expect to achieve growth and EBIT margin expansion that will result in a low to mid teens increase in adjusted earnings per share diluted on a percentage basis versus 2009. This expectation includes plans to meaningfully invest in our business throughout the reminder of the year. I’ll now turn it over to Bert who will provide some additional financial details.
Bert Alfonso: First quarter results were better than our earlier expectations with consolidated net sales of $1.4 billion up 13.9% versus the prior year, generating diluted EPS of $0.64. 68% EPS increase versus adjusted EPS from operations last year was driven by greater than anticipated base sales volume, net price realization, and new manufacturing efficiencies. First quarter sales gains were driven primarily by balanced volume increases in focused channels, new products, carry over seasonal pricing, and price realization related to trade efficiency. Several factors contributed to the volume gains, these include base business volume that exceeded expectations driven by brand investments and retail trends discussed by Dave. The successful distribution and the launch of new products which exceeded expectations and contributed about two points of growth, and the seasonal shift we communicated in our fourth quarter call in January which moved volume from the fourth quarter ’09 to the first quarter 2010. In addition, our international business was up and foreign currency exchange was about one point of benefit. Dave already provided details to our marketplace performance, however, again I remind you that Nielsen data as of March 20th excludes the last two weekends in the Easter period for our custom database for 12 week take away figures closer to Easter are in line with our first quarter factory shipments leaving inventory at key distributors and retailers at desired levels. Turning now to margins, in the first quarter adjusted gross margin increased 630 basis points, this was driven by net price realization, supply chain efficiencies some of which is related to fixed cost absorption as volume was greater than year ago and better than expected versus our previous estimates and lower commodity input costs of about 130 basis points. The favorable commodities are an anomaly in the first quarter but are projected to be higher than prior year for the remaining quarters in 2010. We have good visibility into our cost structure and we’ll achieve the expected 2010 Global Supply Chain Cost savings of $15 to $25 million by the end of the second quarter. In addition, normal levels of productivity are on track and we expect gross margin to expand for the full year 2010 but not at the rate realized in the first quarter. EBIT margin increased 410 basis points in the first quarter as higher gross margin was only partially offset by advertising, up 67% or about 190 basis points, selling expenses as we added more US in store hours and continued to build global capabilities, higher employee related costs, and legal costs and advisory services related to our consideration of the transaction with Cadbury. We are planning additional increases in advertising for the full year and expect advertising expense to increase 35% to 40% in 2010 which is greater than our previous estimate of 25% to 30%. Despite this increase we expect EBIT margin to increase for the full year driven by the first quarter gain offset by higher investments that will primarily occur during the second half of the year. Now let me provide a brief update on our international businesses. On a reported and constant currency basis, net sales increased with solid performance in Canada, China, Mexico, and Brazil. Excluding Canada, our international sales increased 14% on an organic basis including FX. This is in line with our five year CAGR that we shared with you during Cagny presentations. Profits increased in Canada but declined over the remainder of our international businesses as we continued to make necessary investments to increase brand awareness and drive trial. Moving down the P&L, for the quarter interest expense decreased slightly coming in at $23.7 million versus $23.9 million in the prior period. This was due to lower average debt balances. In 2010 we expect interest expense to be approximately $90 to $100 million. The tax rate in the first quarter was 35.8% considerably less than a year ago when the rate was 41.9% due to the timing of certain tax events. We continue to expect the full year tax rate to be about 35% and roughly 36% in the second quarter. In the first quarter 2010 weighted average shares outstanding on a diluted basis were 229.6 million versus 228.3 million in 2009 leading to EPS of $0.64 per share diluted. Now let me turn to the balance sheet and cash flow. At the end of the first quarter, net trading capital decreased versus last year’s first quarter resulting in a net cash inflow of $65 million. Accounts receivable was up $80 million. The year over year increase was a direct result of higher sales and Easter timing. We continuously monitor our accounts receivable aging and it remains extremely current and of high quality. Inventory declined by $91 million and accounts payable increased by $55 million. Over the last two years we have made excellent progress on net working capital and at this point in time we would expect it to trend about at current levels for the remainder of the year. In terms of other specific cash flow items, capital additions including software were $36 million. For 2010 we continue to expect capital expenditures to be in the range of $150 to $160 million in line with previous communication. Depreciation and amortization was $47 million in the first quarter and in 2010 we are forecasting total depreciation and amortization of $180 million. Dividends paid during the quarter were $71 million. We did not acquire any stock in the first quarter related to the current repurchase program and there remains $100 million outstanding on the authorization that the Board approved in 2006. During the quarter, however, we did repurchase 64 million of our common shares in the open market to replace shares issued in connection with stock option exercises. Cash on hand at the end of the first quarter was $304 million up $50 million versus the year end balance. As it relates to our short term cash needs, the company is currency well positioned. Our cash flow continues to be strong and will improve as we grow earnings. Now to summarize. In 2010 our goal is to continue the current marketplace momentum. To support this objective we’ll continue to invest in our brands and businesses in both the US and international markets. We’ll focus our efforts on advertising, which we expect to increase 35% to 40% as well as consumer insights and brand building initiatives that should enable the category and Hershey to grow this year and into 2011. As a result, we expect net sales growth for the full year 2010 of at least 6% including an approximate one point benefit from foreign currency exchange rates. Despite commodity spot price volatility, we have good visibility into our 2010 cost structure and expect to achieve growth in EBIT margin expansion that result in 2010 adjusted earnings per share diluted growth of low to mid teens on a percentage basis versus 2009. Before we go to Q&A as you work your models, let’s consider some of the unique first quarter drivers and there are many moving parts and factors affecting our business over the remainder of the year. To be more specific, as we exit the first quarter we have completed and lapped the August 2008 pricing action. The first quarter volume benefited from a seasonal shift from the fourth quarter 2009 into the first quarter 2010. The December ’09 to January 2010 seasonal shift and shipping patterns are likely to occur again at the end of this year with respect to Valentine’s and Easter. Also, Easter is later next year, April 24th. As a result we expect the seasonal shift from the fourth quarter of ’10 to the first quarter of ’11 to be greater than the shift that occurs this quarter as we continue to refine seasonal orders and logistic requirements with our key customers. The launch of Reese’s Minis and Hershey’s Drops is scheduled for December to align ourselves with retailer shelf resets. The majority of the incremental brand building initiatives which we mentioned will occur in the second half of the year. We do not expect the first quarter commodity favorability to continue for the remainder of the year nor do we expect the LIFO inventory accounting to be favorable in the fourth quarter 2010 as it was in the fourth quarter 2009. We expect favorable exchange rate gains to decline each quarter as the year progresses. Finally, by the end of June we expect to achieve all of the Global Supply Chain Transformation program savings that we mentioned. With all that out of the way, we’ll now open it up for questions.
Operator: (Operator Instructions) Your first question comes from David Palmer – UBS
David Palmer – UBS:  On two channels, convenience stores and drug, particularly on convenience store, perhaps you could speak for the category, were you seeing a general sequential improvement in demand through the quarter and perhaps heading into this most recent month, that’s certainly what we have heard I just wanted to soft of confirm that that was happening. With regard to drug, obviously there was some cut backs on certain types of promotions that might have been hurting volume there. How do you think that will play out going forward?
Dave West: With respect to c-store we saw the category growth rate in the first quarter up about 2.3% we were up around 6.2% so we gained a share point. We saw some reasonable growth throughout the month; it was pretty balanced across the month. Traffic was a little softer than we would have liked to have seen it. But overall we’re happy with our programming. Obviously fuel prices versus prior year were up a bit higher so that might have had some cause in terms of some of the slower trips and traffic. For the most part we’re pretty pleased with our business and again we really saw volume return in convenience in a big way in the first quarter. With respect to drug, we mentioned it before, as we had changed some of our go to market processes and the way we were approaching brand investment we found ourselves a bit misaligned with our drug customers and these are very important customers to us and customers where we enjoy long term relationships that are very important. We’ve been working very hard to come to a place where we’re back in sync with those retailers. I don’t think it’s appropriate for me to comment any further other than to say that we continue to work that and we did get sequentially better and hope that as the year goes on we continue to do that.
David Palmer – UBS: You said it was fairly balanced in terms of trends through the month, maybe you meant through the quarter for c-stores. Was it one where the sales trends were fairly balanced through the quarter but perhaps volume was picking up through the quarter, is that fair?
Dave West: Remember in convenience that was where we had seen the pricing action first so we had very little price realization if any in c-stores so I think that we had already been through the pricing.
David Palmer – UBS: It was balanced through the quarter; there’s really not been much of a change in trend.
Dave West: Not really. Great balance for us.
Operator: Your next question comes from Jonathan Feeney – Janney Montgomery Scott
Jonathan Feeney – Janney Montgomery Scott: Considering the recent pretty considerable increases in advertising spending you’ve made and falling ad rates, could you give us a sense is there an impressions number and I’m sorry if I missed it I was back and forth with PepsiCo, growth in total impressions you’ve gotten, particularly for your core brands and/or increased return on those dollars that’s reflected in the results you’ve been seeing today and recently.
Dave West: We talked about the increase in overall advertising spend on a rate basis and we’re actually getting more GRPs a percentage increase in GRPs is higher than the dollars because we’re becoming more efficient in the way we purchase and the way we flight. I think what you’re seeing is we’ll continue to get a bit more increase in GRPs particularly this year than we certainly did last year as we become a more efficient buyer and a better flighter of our media. I think that’s part of it. We’re very pleased with the responsiveness of the brands; particularly we saw some very good initial response, for example in Mounds, Almond Joy and York when that ad copy came on in the early part of this year. We continue to see it, we continue to look at our ROIs on a going basis and then throughout the rest of this year we’re going to look at continuing to improve the way we flight, the way we purchase and also start to look in some other areas a little bit more deeply, specifically let’s say digital media for example.
Jonathan Feeney – Janney Montgomery Scott: Maybe this is a little bit too granular, but do you break down advertising spending and investments or do GRPs as you mentioned them by brand family or by brand. I’m trying to figure out where it is that you’re seeing the most sort of revitalization if you will.
Dave West: We do it by brand, absolutely because the way the brands are positioned you have to do it by brand because you’re buying a different target, different media outlet, different demographic for each of the brands. We’re doing it by brand. We have different targeted levels of GRPs for each brand and each brand is a little bit further along or behind in the curve. So for example, Reese’s is further along in the curve with respect because we started Reese’s advertising in late ’07 than for example Kit Kat which we started last year. We do look at it by brand. We think there are break through levels for different brands so it is a granular question and I could probably answer it if we had a lot more time in a very granular way. We run the ROIs by brand as well. We continue to look at the spend and are very pleased with the results that we’re getting. When you look at a top line growth rate like we had this quarter and starting to see base volume come back we think we’re pretty pleased with how the advertising is working.
Jonathan Feeney – Janney Montgomery Scott: It’s really Reese’s that’s sort of been the leader.
Dave West: Reese’s continues to grow. It’s also been one of the things that we’ve been very strong with partnering and bundling where we use our retail capabilities such as with the Reese’s NCAA March Madness sponsorship where it’s not just the advertising, it’s the advertising which gets the awareness and then when the consumer shows up at retail we also have great displays, you saw orange NCAA March Madness displays everywhere at store. It’s also the combination of getting the consumer to the shelf and then having the brand there displayed appropriately.
Jonathan Feeney – Janney Montgomery Scott: I always gain about a pound the day you guys report.
Operator: Your next question comes from Vincent Andrews – Morgan Stanley
Vincent Andrews – Morgan Stanley: My question would be related to, I don’t believe, correct me if I’m wrong, you made any sort of commentary on the mix between volume and price in the quarter but I do know that you stated that you’re basically done with price now in terms of the prior price increases. It sounds like the balance of the revenue growth for the balance of the year is going to come from volume growth and obviously you had some volume elasticity last year so it’s not hard to imagine. I wanted to get a sense of where you were in the first quarter, whether you thought the trend going into the balance of the year was conservative relative to your guidance, then also how we should think about the fixed cost absorption, the improvement there that’s likely to come.
Dave West: We were up 14%; if you think about Easter carry over pricing which was the end of the 2008 is really the last part of the business that saw the price increase. Seasons in the quarter are somewhere around a quarter to a third of our business in terms of the Easter shipments as factory shipments go. On a weighted basis we took a 10% to 11% price increase and it was on a third of the business in the quarter. Roughly do the math you’ll wind up with something in the 3% range on price as a contributor. We did talk when we talked to you in the fourth quarter of last year about some volume shifting out of the fourth quarter into the first quarter so again a couple of points of shift. And we would have expected to see our new product contribution from Pieces add a little bit to sales and we would have expected international add a little bit to sales. Our expectation going in would have been around that, the little bit of carry over pricing, the Easter shift and then some new products and a little bit of international and foreign exchange gain. Mid single digits would have been our expectation. We had three, I think, places where we exceeded our expectations. One of them was the ramp up of the new products and the ACV and the distribution build probably added an extra point of growth in the quarter. We were a bit more efficient between growth in net, our trade promotion efficiency was pretty good but we were also very good with mark downs on saleables as we continue to get our inventories in line we continue to do a little bit better sweating down from growth to net if you will. Then the rest of it is really base volume. We had good base volume where we’ve invested so the brands we’ve invested advertising, particularly where we invested late in the year last year but also at the customers and the retail outlets so convenience certain mass and certain food accounts where we put more retail and selling resources in, we saw very good volume gain in the first quarter. As you carry forward into the year we’ll continue to expect to see the new products will contribute and we continue to expect to see, now that we’re lapped through the price increase we’ll get base volume. I hope that gives you an explanation of how we’re thinking about the year. I’ll let Bert talk a little bit about the cost absorption.
Bert Alfonso: In terms of the cost absorption, clearly we benefited in the first quarter for the reasons that Dave mentioned in terms of having our volumes be a bit higher than we anticipated. As you think about the rest of the year, right now we’re thinking more in line with what we would have planned. We plan for volume increase this year as you would imagine in terms of our total plan. We had some pricing coming into the year and as you’ve already mentioned that exhausted itself in the first quarter. We were planning for volume increase; we got a bit more in the first quarter. We’re looking out at the remaining quarters to be closer to the initial plans. Even with the shift that occurs at year end that product is largely produced within 2010. Think of the shift not as an absorption shift but more as a shift in sales in terms of shipping. Overall, cost of goods is favorable in the first quarter for the number of things which you’ve already mentioned; global supply chain transformation being heavier in the first half, particularly in the first quarter, we had better commodity year on year which we do not expect in the remaining quarters, and our ongoing productivity is pretty spread out throughout the year so that stays and has been coming in as we expected.
Vincent Andrews – Morgan Stanley: I want to clarify, make sure I understand, obviously there were some volume components in 1Q that won’t recur because they were seasonal shifts or what have you, your assumption for the balance of the year that volume is going to come in closer to the initial plan it does sound like the base volume in 1Q did come in ahead of that initial plan so that does leave the possibility that could happen during the balance of the year or is there something I’m missing there?
Dave West: I think that’s correct. There is some possibility but right now as we’re seeing we’re projecting closer to plan.
Operator: Your next question comes from Eric Katzman – Deutsche Bank
Eric Katzman – Deutsche Bank: I’ve been a critic and I think that your reinvestment in the business is good both for the short term and the long term. I have a brand kind of question and a category question. As a pretty long term observer it seems like Mars and Hershey have always very judiciously stayed out of each others territory. What I mean by that is that Mars hasn’t produced a bar, you guys haven’t produced an enrobed product like a Snickers. They haven’t gone after peanut butter and you guys haven’t gone after M&Ms. My sense is that that’s changing and I’m wondering why shouldn’t I be worried about that. The pieces product looks like its going right after M&Ms and the Bliss product seems to go really right after Dove. I just worry that what had been each others territory and rarely maybe playing around the fringes but now it seems like you’re going right up against some of their core products.
Dave West: That’s really not how we think about the business. We think about the business by consumer usage occasion, and by forms and by how our brands are best positioned. When you think about the Pieces lineup what we’re really doing is you remember when we talk about loyalist consumers, the loyal consumers who are looking for the coconut experience that Mounds, Almond Joy provide or looking for the mint and chocolate experience that York provides, they’re unable to get that in the category right now up until we launched Pieces in a hand to mouth format. What we’re really doing is taking some of our brands where consumers are the most loyal and providing that flavor experience that we think our brands uniquely capture and providing that to them in a different usage occasion. When we think about how we segment the category we really do look at it from the consumers view and then that’s how we also position our brands and think about investments. The category growth is robust. When you look at 52 week growth rates we’re up 7%. As people invest in the category and others including Mars Wrigley, including Linton Ghirardelli and Kraft Cadbury it’s an expandable category, consumers purchase it on impulse so as people continue to invest in the category the category will expand and grow and we think that’s a healthy thing. We’re doing it based on a consumer view and brand view and that’s how we look at it.
Eric Katzman – Deutsche Bank: I guess whether they view it that way the proof will be in the pudding. The other question I had is just in terms of trade up as the economy gets a little bit better are you seeing any signs of the chocolate user moving back up scale at all or is it still a pretty value oriented mass market decision which helps your brands a lot.
Dave West: I’ll give you two data points. Valentine’s Day was down primarily a gifting and a little bit premium type of an event and it was down pretty markedly so we didn’t see a real return to premium in gifting in Valentine’s Day. The trade up space for the quarter was pretty much flat. Again we didn’t see much of a return to trading up during the quarter at all.
Eric Katzman – Deutsche Bank: The promotion that you mentioned, you were more efficient on promotion but was promotion still a hit to net sales? Was it up year over year and you were just more efficient than you would have been otherwise or are you saying that promotion actually dropped and therefore it helped sales and your price realization?
Dave West: On a rate basis, actually because our volumes were so much higher on an absolute dollar basis we spent more on trade promotion but on a rate basis trade promotion was lower in the quarter.
Operator: Your next question comes from Terry Bivens – JP Morgan
Terry Bivens – JP Morgan: We’re hearing from one large store distributor that both candy and snack volumes really started accelerating very recently, like within the last four to six weeks and I think a lot of that is probably going to show up in that data subsequent to March 20th I think which you called out. What’s driving that is that retailer driven or do you have more specific programs with regard to the c-store? Is it King Size for example, I’d like to get a better understanding of that.
Dave West: I think it’s a combination of a couple of things. One of them is the category dynamic and the relationships, we are very proud of our relationships and have built those relationships over many, many years in convenience with retailers and so I think what’s happened as we’ve gone through some bumps in the road and the economy and the relationship the category has in that class of trade is very strong. We’ve continued to provide solutions. Some of the points that I mentioned, the second highest margin category is certainly the highest margin in the category is something that has velocity in the convenience stores. I think there’s probably higher margin in health and beauty but not a lot of that gets sold. We’re a high margin category, we are a very good bundled category, confections goes with a beverage often times so you can incent a higher dollar ring if you will when you can bundle confections together. It’s still a very much impulse oriented category. In a world where you’re trips are precious if you’re worried about the number of trips you’re getting you definitely want to have impulsive stuff right up close to the front of the register to take full advantage of those trips. I think the category dynamics are very good. On top of it the programming has been very good, I think we’ve all learned together the retailers and us, particularly about what works and what doesn’t work, what the right assortment is, where the aisle ought to be. The category management expertise that for example Max has helped their retailers with has I think really started to pay off for the category in terms of making it a destination. We’re pleased with it, we’ve hung in there with them for years in terms of building those relationships and I think it’s really paying off for us.
Terry Bivens – JP Morgan: It seems with your savings program drawing to a close here by our model at least, and particularly if you keep up the kind of performance you did in this quarter, cash is going to start mounting up pretty quickly here. Can you give us an idea at this point what shareholders ought to expect just in terms of how you’re going to deploy that?
Bert Alfonso: I think we have a pretty good track record in terms of returning to shareholders in terms of dividends and buybacks. We did recently increase our dividend by 7.5% and we have a 3% yield and pretty competitive payout ratio. While we didn’t do any buyback off the authorized program we were in the marketplace replenishing stock options that were exercised. We suspended that a bit last year just in terms of as the market at a critical stage with respect to credit markets. We’ve resumed that. We were pretty communicative in Cagny around our continued look into the marketplace, particularly in the international space around being inquisitive and seeing if there are opportunities there. With respect to more increases in dividends and/or share buy back it’s a Board level discussion that we talk about frequently and I’m sure that’s a topic that we’ll discuss in the coming near future.
Operator: Your next question comes from David Driscoll – Citigroup
David Driscoll – Citigroup: You went through a lot of different numbers and you gave some great factors which I feel like I’m going to have to re-read this transcript. I’d just like to try to ask you about the next three quarters. As I look at the comparisons and I would say that just if we use 252 which would be I believe 16% growth on your ‘09 figure, if we look at what the implication is for the next nine months it would say that earnings would grow about 5% which of course feels a bit low relative to both your long term guidance and obviously the incredible results that we’re seeing this quarter. I understand that we have lapped the pricing but I’m trying to get an understanding on how we model out these next three quarters given the guidance and the factors that you’re seeing. It looks like it would be flat pricing and good solid volume growth 3% or 4% volume growth and then you would get some margin expansion. Can you help me out here understand how the remaining portion of the year goes?
Dave West: Let me talk first about the first quarter. We clearly over delivered in the first quarter both on the top line and on the bottom line. Q1 benefited from some of the really difficult but I think sound decisions that we made in prior months and years. For example, the change in our business model in terms of pricing, now that winds itself up, the August of ’08 pricing winds itself up in the first quarter. The Global Supply Chain Transformation largely winds itself up here in the first half so we’ll get the savings in the first half. We start to benefit from the advertising that we’ve certainly been doing, not start, we continue to benefit from the advertising. When you look at the first quarter we got good benefits from the Global Supply Chain and the carry over pricing, those things tend to wind themselves up in the front half. We had really strong earnings delivery in the first part of the year, the first quarter and it’ll carry over a little bit here going forward, really good earnings here. The investment part where we’re going to now take a look at, based on the strength we have in the first quarter, reinvesting some of that earnings momentum, that investment comes in the second half of the year where we’re in a more normalized business model, if you will. We’re now more of a steady state model once we’re through the pricing and through the Global Supply Chain Transformation we’ll start to see a little bit more normalized volumes if you will going forward once we’re through the price increase and we will invest significantly in the back part of the year in advertising and in capabilities. I think that’s the way to think about it is a more normalized business model going forward with some pretty strong investments for the future.
David Driscoll – Citigroup: I think I understand what you’re saying but I want to try one more direction on this one. Over the last four quarters pricing was absolutely massive and you had cost savings and that clearly then was able to more than fund the advertising increase. I think what you’re saying is that over the next three quarters you still have massive investments going into advertising but we’re not going to see that pricing component of it hit the top line in the next three quarter so then that really has to come from somewhere and that’s why the earnings growth would get back to a much more normalized level. Would you agree with that statement?
Dave West: I think that what I would say is that we are going to continue to invest in the brands and the business and the capabilities and we’re looking at it on a full year basis. We may be a little mismatched in the productivity might be a little more front end loaded so the Global Supply Chain and some of the commodity favorability in the first part of the year, with some of the investment in the back part of the year. We may be a little mismatched in terms of how the productivity flows into the P&L versus how some of the investment flows out. I think overall we’re through the pricing from August ’08; we’re starting to see the volumes return. As I said, we’re comfortable in that 3% to 5% long term sales guidance that we have out there for the rest of the year and then again I guess there’s a little bit of a mismatch between the productivity and the margin expansion and then the expansion of SM&A we spend a little bit more in the back half and we have a little bit more productivity in the front half.
Operator: Your next question comes from Alexia Howard – Sanford Bernstein
Alexia Howard – Sanford Bernstein: I wanted to ask about the investments in the second half. You mentioned advertising and capability building, I wonder if you can tell us a little bit more about what the capability building means? Also, investment in emerging market expansion it sounds as thought that might be a big theme in the second half, can you give you give us any idea of how much more you’re going to be spending as we look forward.
Dave West: Our advertising expenditure plans now look at a 35% to 40% increase for the year, that’s up from what we had originally said which was 25% to 30%. That will go into certain brands in the US but also other markets globally. We had talked at our Cagny conference about insight driven performance and the investments we’re making to make sure that we have state of the art, leading edge category management in both consumer and shopper insight work that’s in pilot with certain of our customers. That work is ongoing. I mentioned digital media as an area where we’re going to continue to also work on the forward basis. We have increased in store hours as well in certain channels. That’s the recurring theme, similar to how we’ve thought about investment last year as we had good results through 2009 we continue to decide to reinvest some of that and we did that throughout the balance of the year, particularly in the fourth quarter. We feel very good that that fourth quarter ’09 investment certainly has gotten us out of the blocks pretty quickly here in ’10. We continue to see that as a pattern as long as we’re making smart investments we’re going to continue to do that.
Operator: Your next question comes from Ken Zaslow – BMO Capital Markets
Ken Zaslow – BMO Capital Markets: When you guys came up with your long term growth target, I would argue and I think you would probably agree that Hershey was in a different place that they are now. What would change your view or what would cause you to change your long term growth targets and align them more with the rest of the packaged food group. I’m not saying when or how but what would be the impetus for you to actually rethink your long term growth targets just given where Hershey is now versus when you actually laid out your plan?
Dave West: I would say two things, you’re right on target we were at a different place when we first did that. We were at a place where we had struggled a little bit in ’06 and ’07 and realized that the business model needed to change, we needed to change the approach to the supply chain but also the way we invested in the brand. Then in the interim obviously the world’s changed quite a bit as well. I think what we’ve really done is let our business model settle its way out and as I said, I think as you get through first quarter here in 2010 from a supply chain and a go to market standpoint we are through a lot of those moving parts. I think the economy is getting a little bit better, although consumer sentiment may not show that all the time. I think we’re in a more normalized level. We’re still seeing commodity spot volatility as well. It’s something that we certainly look at, I think what we’re saying is what we’re doing is making sure we continue to update you on how we’re thinking about the current year versus that long term model. At some point in time, obviously its part of the strategic planning exercise that all companies do and we’re kind of in the middle of right now, you look at that three or five year out picture and make some decisions about capital structure, growth rates, etc. It’s a fair question and hopefully we’ve been transparent enough to give you a view when we’re not going to be in that long term range for now.
Ken Zaslow – BMO Capital Markets: I’m not even talking about this year, I’m talking about again 2011, ’12, ’13, is there an impetus you need an acquisition, is it just what you right size your business exactly the way you want it, is there any impetus that we should think about.
Dave West: I think it’s two or three things. One of it is a more normalized business model which I think we’re starting to get towards. Again, I think the financial markets, the commodity markets, and some of the consumer sentiment watching that settle its way out would also be an impetus for us.
Ken Zaslow – BMO Capital Markets: When you said that the gross margins for the quarter were an anomaly and you kind of made it reference out of the commodity prices, is it just that you had good hedges is that like the real simple answer?
Bert Alfonso: I wouldn’t think of it as good hedges. We said that we have good visibility throughout the year. If you compare to last year our expectations around dairy in particular that was favorable and last year when we started to look at the year we didn’t change those expectations till about the middle of the year and that has an implication on how the first quarter came in.
Operator: Your next question comes from Christine McCracken - Cleveland Research
Christine McCracken - Cleveland Research: I think you mentioned that your trade promotion spending for the quarter was down but we’ve clearly seen a pretty big shift in the food channels toward lower prices, pretty price competitive. Is it that you’re not being asked to participate or is it a strategic decision on your part to again refocus on that advertising and brand promotions.
Dave West: We showed an interesting chart at Cagny in terms of how we thought about shifting the mix of our spending between pull and push. Again, on a macro level what we’ve really done is invested in our brands in advertising and consumer promotion. We took the price increase in August of ’08 because the commodity costs were very, very high and the profile had kind of changed in a step function way. As part of that increase we not only change list prices we also saw promotional prices move up in the marketplace. As part of that move up in promotional prices is needing less trade promotion on some level to hit what would have been historically lower prices. There’s a little bit of that that goes with the new pricing model and the pricing structure. Overall its so customer and event specific I think we saw overall we’re spending more absolute dollars in promotion because we have more volume. On a rate basis we did see an improvement in the first quarter and we’re pleased with that, although I’m not sure that we would tell you to trend that forward. I think now that we’re through the last of the August ’08 pricing we’re in a more normalized volume level, I’m not sure you would expect to see rate deficiency going forward. Again, it’s so customer and event specific it builds up so granularly that I almost couldn’t give you anything more specific than that.
Christine McCracken - Cleveland Research: You mentioned higher fuel costs might be impacting your c-store sales and I think you referenced your expectations that commodity costs would probably be higher over the balance of the year, the expectation I think at this point is dairy moved a bit higher. What would it take to institute another price increase, is that even in your solution set at this point or is it that you took enough in your last round that that wouldn’t be in consideration.
Dave West: I don’t even want to go there. We’re comfortable with the margin expansion that we’ve gotten and we’re seeing the consumer volumes come back. We have good visibility to 2010 costs and I’d leave it at that.
Operator: Your next question comes from Robert Moskow – Credit Suisse
Robert Moskow – Credit Suisse: Mounds, Almond Joy, York, they’re kind of niche products and you’re putting a lot of advertising into them, it seems to be working for now. How big is this business currently and how big do you think it could get? I’m a big coconut lover but I’m kind of a consensus of one in my household. I’m not sure how much more coconut I can eat. Can you tell me how big you think it can be?
Dave West: What I’ve been saying is when you look at the segmentation work there are loyal followers and you’re probably one of them, loyalists who while the brand overall may not be a huge gigantic brand or a huge brand when you find the loyal consumer they can be as much as a third of consumption on some of these brands comes from a very small percentage of loyal users. Remember that these brands are incredibly profitable, very high margin brands for us so when you think about York and you think about Mounds and Almond Joy these are brands that have, they’re not solid milk chocolate they have a lot of inclusion and they’re enrobed bars so they’re very high margin for us. We’re not spending at the level we’re spending on Hershey’s or on Reese’s on these brands. We think with a modest level of brand investment we can get really good awareness on some of these brands that have high margins and get them activated that way and reengage some consumers who we haven’t talked to in seven, eight, nine, or ten years. That’s how we’re thinking about it and again we got really good lift initially and these are ones that we’ll watch very closely to make sure that we continue to see lift and run the ROIs on them. It’s kind of a natural evolution once you get through getting the big brands to the right place that you now go into other part as we talked about in the consumer demand landscape and see how you can activate the brands and we’re pleased to date with it but it’s only a quarters worth of results so we’ll watch the ROIs carefully.
Robert Moskow – Credit Suisse: One of your competitors in chewing gum, I know it’s not a big business of yours said that chewing gum category is very weak. Are you seeing that as well and do you think that maybe what you’re doing on the candy and chocolate side might be taking a little bit of attention away from chewing gum?
Dave West: I think the category overall has grown nicely. You get shifts in mix all the time, it looks like right now for whatever reason gum and mints, the refreshment part of the business are probably growing a little less than chocolate and non-chocolate. I think some of that’s programming not just us but others. Some of it’s timing of innovation. It’s a number of those things. Over time these things tend to ebb and flow based on how people calendar their business but you’re right, gum and mints, the refreshment part of the portfolio is probably growing a little slower right now but that’s not to say that you won’t see a swing sometime later in the year. It is the fact right now.
Operator: Your next question comes from Bryan Spillane – Bank of America
Bryan Spillane – Bank of America: Around your sales effectiveness, you’ve spoken a bit about how much the increase in advertising is helping to drive some volume and has made your pricing effective. I’m also curious, I guess it was fall of ’07 you started to increase the size of your sales force, especially in convenience stores. I had the impression that it really wasn’t until last year that you had most of these people fully trained and in place and with all the tools they needed to do their jobs. First, how much of having more feet on the street has made you more efficient in terms of promotions and ability to maybe be more efficient with your pricing and trade promotions. Then also in terms of reinvestment, is that on the table as well, increasing the size of your sales force and making a bigger investment in your sales force.
Dave West: We continue to believe and have always believed that our selling capabilities our sales force if you will, I’m talking not only about feet on the street but also our category management capabilities and our headquarters capabilities. We think we’re very good within our category and we think we’re actually think of ourselves as pretty comparable in consumer packaging goods because we had a pretty efficient cost because we’re so focused on one category can deliver pretty good benefit. You’re right; we started in ’07 specific to retail, investing in certain classes of trade, certain mass customers, a little bit in food and certainly quite a bit in convenience stores. We’re at full complement but we’re also actually adding again this year in terms of in store hours. There is an investment in RS, if you look at our SM&A line there is an investment inherent in that line this year for more sales coverage. It is paying out. One of the things that I would also tell you is it’s not a static sales force if you will, we can reroute that sales force on a monthly basis based on activity by customer based on who’s running promotional activity and where we need to sell at retail. We do that and we continue to look at how to continuously improve our routing to be more efficient and productive. Also, as the economy has shifted in the last 12 to 18 months we’ve certainly shifted and grown with the growing customers if you will and made sure that our resources are in the right place. It is a strong competitive advantage for us and one that we continually invest in and I think it makes the advertising investment that much more efficient and effective when you actually get to retail and product that you’re advertising is in the right spot with consumer promotion and merchandising vehicles that tie to the advertising. The NCAA March Madness promotion, for example we ran great Reese’s copy throughout March and at store level you saw walls of orange when you came into store in terms of display so that the consumer once they got to the store we could activate. We think it works very well together, we’ve invested in both capabilities and we’re going to continue to do that.
Bryan Spillane – Bank of America: If you were to benchmark just your sales coverage relative to some of your competitors do you think that you’ve got greater sales coverage whether it’s measured through people relative to revenue or the number of hours they’re able to spend in the store, do you think your sales coverage right now is comparable or more than your competitors?
Dave West: I think we’re a little different than everybody, that’s not to say that being different or unique is always better. I think in this case I’d like to think we are. We have our own dedicated direct people, we’re not using brokers. I think that’s the most unique part of it is that we tend to control our own destiny. Other folks may be getting similar types of hours or minutes or coverage in store but they may be getting it through a broker or maybe not with the same frequency. Overall we’re dedicated to one category. We offer a total confection solution and it’s integrated all the way back to from category captains to account planning to retail where in it we tend to be very integrated and focused on one category and I think that’s an advantage for us.
Operator: Your next question comes from David Palmer – UBS
David Palmer – UBS: It seems like Mars, your major competitor in the c-store channels getting more into the new product game lately, maybe not to the level of the old Hershey limited edition strategy but certainly they seem to be trying to stimulate new demand with new products or at least we hear that’s going to happen with M&Ms with pretzels in them and stuff like that. What that says to me is the rumble of the new product news seems to be happening in the wake of a period which Hershey has been gaining share through just advertising behind the core and having that virtuous cycle going. Do you think it’s appropriate for Hershey to stay the course here very limited new product news for a while and that this soft of cycle can continue or do you think it’s appropriate maybe for Hershey to fold in more new product news here particularly with the competition and perhaps the consumer being ready for it?
Dave West: As you’ve pointed out we had a period where we were probably less disciplined in innovation and new products then we would have liked. There is a role for news in this category as a variety seeking category. Consumers have more than one brand that they are willing to sample so there is a role for innovation. I look at our business right now and for the first time in a couple years here, innovation is additive for us. We’ve do it, I think in a way that works for our supply chain and for our business model at the current time. Other people have their own view of how to go about their brands and their business and there’s no one right answer. The answer for us right now, we had a very strong first quarter coming off of a good year last year. The model is working, we continue to run the ROIs on all of the marketing mix; advertising, consumer promotion, and trade promotion. We’ll continue to dial as we go along. For us right now we think we’re in a good place and as I said we don’t have the only model there are any number of models to make things work. We think investment in the category overall regardless of how people are doing it is good for the category and good for the growth. We’re pleased with where we are and we’re pleased that innovation is added to begin for us.
Operator: There are no further questions at this time.
Mark Pogharian: Thank you very much for joining us on today’s conference call. Matt Miller and myself will be available to answer any follow up questions that any of you may have.
Operator: This concludes today’s conference call. You may now disconnect.